Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2015 ACCO Brands Corporation Earnings Conference Call. My name is Tawanda and I will be your coordinator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Jennifer Rice, Vice President, Investor Relations. Please proceed.
Jennifer Rice - Vice President-Investor Relations: Good morning and welcome to our third quarter 2015 conference call. Speaking on the call today are Boris Elisman, President and Chief Executive Officer of ACCO Brands Corporation; and Neal Fenwick, Executive Vice President and Chief Financial Officer. Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. These slides provide detailed information to supplement this call. When speaking to quarterly results, we may refer to adjusted results. Adjusted results exclude restructuring, cost associated with debt refinancing, and apply a normalized effective tax rate of 35%. Schedules of adjusted results and other non-GAAP financial measures and a reconciliation of these measures to the most directly comparable GAAP measures are in this morning's press release. Forward-looking statements made during the call are based on certain risk factors and uncertainties, and our actual plans, actions, and results could differ materially. Please refer to our press release and SEC filings for an explanation of certain of these risk factors and assumptions. Our forward-looking statements are made as of today's date and we assume no obligation to update them going forward. Following our prepared remarks, we will hold a Q&A session. Now, it is my pleasure to turn the call over to Boris Elisman.
Boris Y. Elisman - President, Chief Executive Officer & Director: Thank you, Jennifer, and good morning, everyone. This morning we reported solid quarterly results. While increasingly unfavorable currency translation significantly impacted our top line, continuing strong operational execution, cost management, productivity improvements, and a solid North American back-to-school largely offset the currency effects on our per share profitability. Our third quarter adjusted net income of $0.28 per share met our expectations for the quarter and keeps us on track for being within the range of our earnings guidance for the year despite additional currency headwinds. In North America, we had positive point-of-sale growth in back-to-school and gained market share in the mass and e-commerce channels. While the overall sell-out grew, our customers were conservative in managing their inventories, which resulted in less replenishment during the quarter. Nevertheless, sales in the U.S. were close to expectations. Back-to-school in Canada was also good, but weakness in commercial channels and the exit of Target from Canada resulted in lower quarterly sales. In our International segment, improving results in Australia and Asia were more than offset by weakness in Europe, and especially in Latin America. Continuing rapid depreciation of Latin American currencies and weak economic conditions are affecting consumer and business sentiment in Brazil and Mexico. As a result, customers are more conservative with their orders and consumers are either buying less or buying lower priced products; we saw that in Brazil during the last back-to-school season and are seeing similar behavior as we begin to ship for this year's season. The U.S. dollar has appreciated steadily throughout the year against most international currencies and we've been adjusting prices in all of our international markets to offset cost inflation. Given the incremental dollar appreciation in Q3, we will have to make additional price adjustments in select countries in Q4 and Q1 of next year. The Computer Products segment continues its transition away from low margin commoditized tablet accessories to more value-added PC accessories such as security locks, computer docks, trackballs and presenters. Both gross and operating margins improved in the quarter, as spot mix shifted to these more profitable categories. We're not yet where we need to be, however. Market sales of tablets and our sales of tablet accessories had been slower than expected, and we anticipate it will take a few additional quarters to sell through commoditized tablet accessories inventories. We are reiterating our guidance for adjusted earnings per share of $0.75 to $0.78 for 2015, but this range now includes negative $0.13 effect from currency versus negative $0.10 in our previous guidance. Due to the increasing negative impact of currency translation on sales, we now expect an annual sales decline of low double digits, inclusive of foreign exchange. We'll continue to expect free cash flow of approximately $140 million for the year. This morning, we also announced that our board of directors has authorized an additional $100 million for share repurchases. As communicated before, we will be balanced in deploying our free cash flow between paying down debt, repurchasing shares, and making acquisitions when appropriate. I expect that during this year, we will repurchase approximately $60 million in shares, the maximal allowable under our bank covenants. The remaining free cash flow will be used to pay down debt. We should have approximately $120 million of authorization remaining for future share repurchases as of the end of the year. With that, I'll let Neal provide additional financial details. Neal?
Neal V. Fenwick - Chief Financial Officer & Executive Vice President: Thank you, Boris, and good morning, everyone. Our third quarter performance is recapped on page two of our slide deck. Third quarter sales decreased 12%, but only 4% at constant currency. Adjusted net income decreased 12% to $31.1 million. (6:20-6:28)
Operator: Good morning and welcome to our third – (6:34-6:39)
Neal V. Fenwick - Chief Financial Officer & Executive Vice President: I'm sorry; I'll restart that. So, thank you, Boris, and good morning everyone. Our third quarter performance is recapped on page two of our slide deck. Third quarter sales decreased 12%, but only 4% at constant currency. Adjusted net income decreased 12% to $31.1 million or $0.28 per share from $35.2 million or $0.30 in the prior year quarter. Foreign currency translation had a $4.9 million adverse impact or $0.05 per share. Gross profit decreased 13% due to the reduction from currency translation and lower sales. Gross margins decreased 20 basis points to 32.3% as cost savings and price increases helped reduce the impact from adverse mix and currency related inflations, causing substantially lower margins in some of our international markets, namely Brazil and Mexico. SG&A expenses were down 13% in the quarter due largely to currency translation and lower expenses. As a percentage of sales, SG&A was down 20 basis points to 17.9%. The improvement was primarily due to cost savings and lower G&A expenses as well as lower incentive compensation expense. Turning to an overview of our segments for the quarter. In North America sales decreased 6% or 4% on a constant currency basis. The decline was primarily due to the timing of back-to-school shipments versus the prior year, and lost placements including those at a large customer that merged. We also saw less inventory replenishment near the end of the quarter as our customers were more conservative in managing their inventory. North America adjusted operating income decreased slightly to $48.4 million from $50 million in the prior year quarter due to nearly $1 million of Canadian currency impact. The remainder of the decline was due to lower gross profit from lower sales. North America operating margin expanded 50 basis points, mainly the result of cost savings and productivity improvements. In our International segment, net sales decreased 26% with 21% due to currency. Underlying sales decreased 5% with volume down 13%. The weakness was predominantly in Brazil and, to a lesser extent, in Europe. Our Australian business performed well. We did have some buy forwards in Q2 ahead of price increases, which pulled sales out of this quarter, but the weak domestic economies in Brazil and Mexico have had an impact on consumer sentiment and buying patterns in the current quarter. International adjusted operating income decreased to $11.2 million from $19.2 million last year, largely due to a $4.7 million reduction from foreign currency and lower gross profit resulting from the lower sales volume, primarily in Brazil. International operating margins contracted 290 basis points as increased product costs due to currency have not been fully recovered via price increases and because of sales deleveraging. Computer Products' net sales decreased 13% or 6% at constant currency and volume declined 10%. The decline was largely due to lower sales for tablet accessories, which now account for only 10% of Computer Products' sales. As was the case in all of our segments, Computer Products' operating income and margins are down year-over-year due to currency and lower sales volumes. Turning now to our cash flow and balance sheet. Year-to-date our cash flow is about even with the prior year. In the nine months, we have used $53.5 million to reduce fully diluted shares by $6.8 million. Looking at our balance sheet, our debt has increased since year-end due to the short-term revolver borrowings used to finance our share repurchases ahead of our seasonal fourth quarter cash flow generation. In the month of October through last Friday, we've used an additional $6.7 million to further reduce share count by $0.9 million. We expect to – we continue to expect strong cash flow generation in the fourth quarter, when we typically generate nearly all of our annual free cash flow and expect $140 million of free cash flow this year. Foreign exchange has certainly had a more negative than expected impact, but our working capital assumptions are better. Just one final note on our guidance. It now assumes foreign exchange spot rates as of October 23, 2015. With that, I'll conclude my remarks and move on to Q&A where Boris and I will be happy to take your questions. Operator?
Operator: Thank you. Your first question comes from the line of Brad Thomas with KeyBanc Capital Markets. Please proceed.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: Thank you. Good morning, Boris, Neal, and Jennifer; and congratulations on managing things well in a tough international FX spectrum.
Boris Y. Elisman - President, Chief Executive Officer & Director: Thank you, Brad. Good morning.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: I wanted to first ask about the performance in North America, and I was hoping if you could give us a little bit more color about how the mass channel performed versus OSS versus Canada.
Boris Y. Elisman - President, Chief Executive Officer & Director: Sure. We had a very successful back-to-school with the mass channel, and that was broad-based, not one customer in particular, but pretty much all of them. We saw POS growth in the mass channel ranging from low to high-single digits. OSS had a mixed performance. One OSS customer had a good back-to-school and we actually saw a little bit of growth with them. And one had, from our perspective, at least, had a poor back-to-school as far as reflected in our numbers. And then Canada had an overall good back-to-school. We saw growth with the major Canadian customers during the season, but it didn't comp the exit of Target from Canada. So last year, we had fairly significant incremental sales through them, and they were not offset by the remaining channel partners.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: Great. And then just a question about the fourth quarter. I know for the year, Brazil is, I think, about 9% of sales for you all. Could you just remind us how important Brazil is for sales and operating income for the fourth quarter, and what your assumptions are there?
Boris Y. Elisman - President, Chief Executive Officer & Director: Fourth quarter is very important for Brazil. I don't have the exact number, but it has to approximate 40% of their sales that come into the fourth quarter. This is when they ship for their back-to-school which occurs in January and February of the following year. And so it's certainly very important from a sales and profit perspective. Given the economic situation in Brazil, we do expect that the sales will be down year-on-year in the fourth quarter.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: Got you. And I know you're raising price in a number of countries, but can you talk a little bit about how you might mitigate some of the headwinds that you're seeing in Brazil?
Boris Y. Elisman - President, Chief Executive Officer & Director: In Brazil we have raised prices actually both earlier in the year for our office channels and then for back-to-school earlier in the fall as we launched our back-to-school products into the channel. So certainly from a margin perspective, some of the FX effects will be mitigated by the price increases. But given the very rapid appreciation of U.S. dollar versus Brazilian real, we're not going to recover all of it in one go, and we'll have to do additional price increases in future time periods.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: Right, right. Great. Thank you so much, Boris.
Boris Y. Elisman - President, Chief Executive Officer & Director: Thanks, Brad.
Operator: Your next question comes from the line of Jack O'Brien with CJS Securities. Please proceed.
Jack O'Brien - CJS Securities, Inc.: Good morning and thanks for taking my questions.
Boris Y. Elisman - President, Chief Executive Officer & Director: Good morning, Jack.
Jack O'Brien - CJS Securities, Inc.: First with the announcement of the additional $100 million share repurchase; were any of the repurchase guidelines set in place last year amended with this?
Boris Y. Elisman - President, Chief Executive Officer & Director: No. It's the same guidelines as before.
Jack O'Brien - CJS Securities, Inc.: Okay. And then assuming no acquisitions, do you expect to be under the 2.5 time lever next year, which would allow you to use more than the $60 million? And if so, do you imagine using the full amount available to you?
Boris Y. Elisman - President, Chief Executive Officer & Director: It's unlikely that we're going to be below 2.5 times EBITDA at the end of next year, just because of the negative effects on -- the effects on our EBITDA. So we still think that we're going to be a little bit, a hair higher by the end of next year if things go according to plan. But certainly, if the course remains the same, we should be below 2.5 times in early 2017. So for next year, it's likely that we'll still be constrained by this $60 million covenant repurchase...
Jack O'Brien - CJS Securities, Inc.: Understood. And then, finally, any update on the acquisition pipeline would be great.
Boris Y. Elisman - President, Chief Executive Officer & Director: I don't have any specific updates. But as we've said before, acquisitions are a key part of our strategy going forward. We're certainly very active in evaluating different opportunities, and if the right one for our shareholders will come, we have the capacity and the ability to act on it.
Jack O'Brien - CJS Securities, Inc.: All right. Thank you very much for taking my questions.
Boris Y. Elisman - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Bill Chappell with SunTrust. Please proceed.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Good morning. Thanks.
Boris Y. Elisman - President, Chief Executive Officer & Director: Good morning, Bill.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Boris, can you talk a little bit more just kind of about the North American trends at the end of the quarter. I'm just trying to understand how that bled into to this quarter, or if it was really just the end of the back-to-school season? And if that tells you anything about, kind of as we look into next year, are you seeing changes from the retail or retailer or end-user market that gives you some pause?
Boris Y. Elisman - President, Chief Executive Officer & Director: Well, the consumer environment, I think, remains challenging, and while we had good back-to-school, I mean, overall, if you look at the retail environment and if you read what some of our retail partners are saying, it is a challenging environment. So we did see that at the end of the quarter after back-to-school really has past when we typically see some replenishment from our retail channel partners, we didn't see the magnitude that we typically see or that we expect. I don't read much into it except for they are conservative in managing their cash and they only take the product when they need it. I'm very pleased with our back-to-school in the U.S. especially, and I think it bodes well for our position for next year, as, I believe, both our channel partners and us were successful and both of us want to repeat it. But we did see that slow down, which drove our sales down a little bit at the end of the quarter.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: And then switching to the Computer Products business. I mean, is that where you wanted to be as we go into kind of the holidays and into next year or there are more changes that need to happen?
Boris Y. Elisman - President, Chief Executive Officer & Director: There are definitely more changes that need to happen in that business. We are still in the middle of transitioning the business from more consumer-centric with a balanced tablet accessories portfolio to the one that is much more focused on the office and business space, moving the products through business-to-business channels, which is not so dependent on very volatile launches of those tablet types of products. The transition is slower than we expected, and that's just because that the market for those types of products has really took a big decrease over the last, I'd say it's now several quarters, and that was even evident in the numbers that Apple has released yesterday. Their sales of iPads were down 20% year-on-year. So given the rapid deterioration of that market, we still have a few quarters of working through some of the inventory that I hope by this time we would be through. So we're still in the middle innings of the transition. I'm pleased with the improvement that we're seeing in the business and the expansion in the margins, but we still have a way to go.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Okay. And then last one from me. Just – I'm assuming the EPS guidance does not include future share repurchase, or I mean, what is the share count to get that guidance for this year?
Boris Y. Elisman - President, Chief Executive Officer & Director: The EPS guidance includes 111 million shares, which is what we have in the model, so it does not included in the future.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Thanks so much.
Boris Y. Elisman - President, Chief Executive Officer & Director: Thank you. Thanks, Bill.
Operator: Your next question comes from the line of Chris McGinnis with Sidoti & Co. Please proceed.
Chris P. McGinnis - Sidoti & Co. LLC: Good morning. Thanks for taking my questions.
Boris Y. Elisman - President, Chief Executive Officer & Director: Morning, Chris.
Chris P. McGinnis - Sidoti & Co. LLC: I guess to start maybe, obviously there has been some rumors on the office retail sector that maybe there is a solution that resellers take over some of the enterprise business. Would that change kind of any of your thought process, or is that – or are you more positioned on the retail side?
Boris Y. Elisman - President, Chief Executive Officer & Director: I've read the same rumors that you've read, Chris. I don't have any really additional insights for you on that. As I've said on previous occasions, we are preparing for the Staples-Office Depot acquisition to take place, so that we are ready to act and respond to it, if and when it does. Whether it does or not is really out of my hands. I'm not so concerned about it, but we'll be prepared to act if it happens.
Chris P. McGinnis - Sidoti & Co. LLC: Sure. And are you weighted more to the retail side of that or the enterprise business?
Boris Y. Elisman - President, Chief Executive Officer & Director: No. About two-thirds or probably even 70% of our business with Staples-Office Depot is on the commercial side; only about 30% of it is on the retail side. So much more heavier weighted towards the commercial side.
Chris P. McGinnis - Sidoti & Co. LLC: Great. All right. And then second, just with – obviously, the tough kind of macro backdrop in international markets, is there anything you can do to kind of control the costs to better position yourself? Or I know it's really out of your hands, but is there a cost savings you can kind of reap out of the business somehow?
Boris Y. Elisman - President, Chief Executive Officer & Director: Well, the currency is out of our hands, but certainly the costs are in our control. And as we've done previously, we manage our costs very tightly and we certainly expect us to continue to do that and certainly react to the macro deterioration that we're seeing in some of these markets by increased productivity improvements and cost management. We will be very much focused on that to make sure that we deliver acceptable returns to our shareholders.
Chris P. McGinnis - Sidoti & Co. LLC: Great. Thanks for taking my questions and good luck in Q4.
Boris Y. Elisman - President, Chief Executive Officer & Director: Thanks, Chris.
Operator: Your next question comes from the line of Kevin Steinke with Barrington Research. Please proceed.
Kevin M. Steinke - Barrington Research Associates, Inc.: Good morning, everyone.
Boris Y. Elisman - President, Chief Executive Officer & Director: Hi, Kevin.
Kevin M. Steinke - Barrington Research Associates, Inc.: I wanted to ask about if you've seen any of the cautiousness in terms of inventory restocking in anticipation of Staples-Office Depot merger? If you're hearing any of that out in the market or if it's just kind of a general cautiousness as you mentioned?
Boris Y. Elisman - President, Chief Executive Officer & Director: The cautiousness that we saw was mostly on the retail side after they were done with their big season. We're not seeing that on the commercial side. So the commercial is still operating in, what we would call normally and replenishing normally.
Kevin M. Steinke - Barrington Research Associates, Inc.: Okay, great. And then, obviously, Brazil weak, but you also mentioned – it sounded like Europe weakened as well and that had seemed fairly stable recently. So just any comment on trends you're seeing there? And if it's worsened materially since we talked last quarter?
Boris Y. Elisman - President, Chief Executive Officer & Director: No, it hasn't worsened; it's stable and weak at the same time. We saw some inventory pull-in in Q2 before our price increases, and that was, that we believe, the primary reason for incremental weakness in Q3 in Europe. The environment in Europe has stayed tepid for several quarters now, it's not improving, but it's also not deteriorating. So it's fairly stable and weak.
Kevin M. Steinke - Barrington Research Associates, Inc.: Okay. And just following up on Computer Products, it sounds like the potential return to growth in that segment might be pushed out a little bit. I don't know what you're thinking now if you're – in terms of return to growth there, if you're just going to wait to see what happens before predicting when the segment might return to growth?
Boris Y. Elisman - President, Chief Executive Officer & Director: I think the read – your read of the situation is appropriate. I think the return to growth is going to be delayed by a couple of quarters while we're selling through some of this tablet accessories inventories. So it's too early for me to predict that yet. 85% to 90% of our business is now in the PC accessories and that's holding steady and growing even in the low single digits, but the decline on the – excuse me, on the tablet side has been so rapid that it really offsets the bigger part of the business. So I have to wait and see what happens there before commenting on it further.
Kevin M. Steinke - Barrington Research Associates, Inc.: Okay. And just lastly, I was wondering on the SG&A expense, there was a benefit of 50 basis points from a one-off item. I was just wondering what that was.
Boris Y. Elisman - President, Chief Executive Officer & Director: Neal, do you know what that is?
Neal V. Fenwick - Chief Financial Officer & Executive Vice President: So we had a couple of issues that impacted the business last year that didn't repeat this year, and also we had a tax recovery in Brazil that impacted the cumulative (27:06) business in Brazil, which is up in the year-to-date.
Kevin M. Steinke - Barrington Research Associates, Inc.: Okay. Great. Thanks for taking my questions.
Boris Y. Elisman - President, Chief Executive Officer & Director: Thank you.
Operator: And with no further questions, I would now like to turn the conference over to Mr. Boris Elisman, President and CEO for closing remarks.
Boris Y. Elisman - President, Chief Executive Officer & Director: Thank you. In closing, I'd like to thank you for being on the call this morning. While we reported solid third quarter results, we expect that foreign exchange translation and economic conditions around the world will continue to pose challenges in the fourth quarter. Nevertheless, I'm confident in our ability to meet these challenges through strong execution against our plans. I look forward to speaking with you on our next call, and in the meantime, I hope you and your families have the opportunity to enjoy the upcoming holidays. We'll speak to you next year. Thank you.